Operator: Greetings and welcome to Angel Oak Mortgage Fourth Quarter Earnings Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Randy Chrisman, Chief Marketing Officer. Thank you, and you may...
Randy Chrisman: Good morning. Thank you for joining us today for Angel Oak Mortgage REIT’s fourth quarter and full year 2022 earnings conference call. This morning, we filed our press release detailing these results, which is available in the Investors Section on our website at www.angeloakreit.com. As a reminder, remarks made on today's conference call may include forward-looking statements. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those discussed today. We do not undertake any obligation to update our forward-looking statements in light of new information or future events. For a more detailed discussion of the factors that may affect the company's results, please refer to our earnings release for this quarter and to our most recent SEC filings. During this call, we will be discussing certain non-GAAP financial measures. More information about these non-GAAP financial measures and reconciliations to the most directly comparable GAAP financial measures are contained in our earnings release and SEC filings. This morning’s conference call is hosted by Angel Oak Mortgage REIT’s, Chief Executive Officer, Sreeni Prabhu; Chief Financial Officer, Brandon Filson; and Angel Oak Capital's Co-CIO, Namit Sinha. Management will make some prepared comments, after which we will open up the call to your questions. Additionally, we recommend reviewing our earnings supplement posted on our website at www.angeloakreit.com. Now, I will turn the call over to Sreeni.
Sreeni Prabhu: Thank you, Randy, and thank you, everyone for joining us today. As you all know, 2022 was a very challenging year as we battle rising inflation, heightened market volatility, and spread widening across most asset classes. The Fed approved and unprecedented seven increases to the Fed funds rate over the course of the year beginning in March. These increases took the benchmark interest rate from 0.25%, as of December 31, 2021 to 4.75% as of December 31, 2022. Marking its highest level in 15 years. Mortgage rates rose in kind more than doubling and peaking about 7% in October. At the same time, non-QM mortgages approached 9%. Additionally, the securitization markets were extremely challenging especially in the second half of the year. However, as we mentioned in our last earnings call, we commenced a strategic plan in the fourth quarter to reduce warehouse financing risk and increase liquidity. Over the last several months, we have made tremendous progress, including three key accomplishments. First, in November, we sold residential mortgage loans with gross weighted coupon of approximately 4.5%, reducing financing risk and releasing incremental liquidity. This was a calculated decision and we found that the price that we received was commensurate with the lack of liquidity in the securitization markets at that time. Second, in December and early January, we converted approximately $286 million of mark-to-market debt from non-mark-to-market financing for continually performing loans, further reducing financing risk. This facility was with one of our existing large bank counterparties, which also speaks to our strong partnerships with global banks. Finally, we participated in an AOMT 2023-1 securitization subsequent to year-end. This was the first Angel Oak securitization in which we participated alongside other Angel Oak entities since our initial public offering. We retained our pro rata share of bonds and the proceeds from the deal. As a result of this accomplishment, as of today, we have reduced our whole loan warehouse debt by over 50% and mark-to-market percentage of total warehouse debt by over 60% since the end of Q3 2022. Additionally, it is important to note that we have not taken on any corporate debt or preferred equity and that we own the call rights to all our dealers, which gives us tremendous flexibility in the future. The goal of this strategy was not only to reduce risk and create liquidity but to also restart our growth engine. And to that end, we intend to resume purchases of newly originated loans at market interest rates. With respect to the current mortgage landscape, there are a couple of dynamics that I’d like to reiterate. First, there remains a meaningful shortage in supply of quality housing across the country. While mortgage rate increases have slowed down demand for home purchases, this underlying constraint should help support a baseline level of mortgage activity. Second, credit performance remained strong. Delinquencies remain low. Foreclosures are exceedingly rare and loss severities are near zero. Additionally, there has been a significant home price appreciation since many of these loans were originated, lowering LTVs and limiting losses in the rare event of default. Even if we factor in a slight to moderate decrease in home prices this year, we still expect meaningful growth versus where loans were originated. Finally, the volatility of this past year has resulted in even higher barriers to entry for the non-QM mortgage origination business. This reinforces the competitive advantage of our relationship with Angel Oaks well-established and streamlined non-QM origination platform. Over the coming quarters, we plan to rotate our portfolio into high coupon mortgage loans and other high yielding mortgage assets and sustain a methodical securitization process, all while continuing to stress liquidity management and protect the balance sheet. With that, I'll turn it over to Brandon.
Brandon Filson: Thank you, Sreeni. First, I would like to talk through the details of our financial results and then provide some additional context around our current position and where we're headed. For the fourth quarter of 2022, we had a GAAP net loss of $8.8 million or $0.36 per share. The loss was driven by the November loan sale, which drove roughly $19 million of incremental loss or $0.77 per share. Distributable earnings were negative $61.5 million or a loss of $2.50 per share. The November loan sale contributed approximately $63 million of realized loss or $2.56 per share in distributable earnings. The loans sold carried an unrealized loss of approximately $44 million as of the end of Q3, all of which were realized upon the sale in addition to the $19 million incremental loss. Interest income for the quarter was $28.4 million and net interest margin was $7.4 million, which compressed due to higher variable borrowing costs. Our operating expenses for the fourth quarter were $4.3 million, representing a decrease of over $7 million from Q3. Excluding securitization and severance expenses, operating expenses were $2 million lower than Q3, which was approximately $1 million lower than Q2, demonstrating continued progress in scaling our operations. Now digging into our balance sheet. As of December 31, we had $29.3 million of cash. Our recourse debt to equity ratio decreased to 2.9 times versus 3.7 times at the end of the third quarter. We have residential whole loans at a fair value of $771 million. Finance was $640 million of warehouse debt. $1 billion of residential mortgage loans and securitization trust, and $1.1 billion of RMBS, including $62 million and retained AOMT securities from the pre-IPO securitizations. We finished the year with undrawn loan financing capacity of $573 million. And as of today, our capacity is approximately $767 million. This difference is driven by our participation in January's AOMT 2023-1 securitization, which released approximately $190 million of mark-to-market warehouse debt. As of today, we have approximately $440 million of warehouse debt, only $155 million of which is subject to mark-to-market risk. We were pleased to reenter the securitization market in January of this year. The AOMT 2023-1 securitization was an approximately $580.5 million securitization and we contributed approximately $241 million scheduled principal balance of loans. Additionally, we retained bonds with base value of $26.6 million and a fair value of $21.8 million while releasing $15.9 million in cash. We expect these retained bonds to yield between 10% and 15%. GAAP book value per share declined 10.7% to $9.49 as of December 31, 2022, down from $10.63 as of September 30, 2022. This includes a $0.76 impact from the November loan sale as well as the impact of our $0.32 per share common dividend paid in November. Excluding these impacts, GAAP book value was relatively flat for the quarter. Economic book value, which fair values all non-recourse securitization obligations was $13.11 per share as of December 31, 2022, up 1.3% from $12.94 per share as of September 30, 2022. The fair value of the bonds underlying our securitization obligations declined as rates increased and duration expectations lengthened, driving the increase in economic book value. Assuming that loan and security pricing has remained relatively flat so far in 2023, with January's rally being offset by a retreat in February. We estimate our GAAP and economic book value as of the end of February to be fairly flat as well, inclusive of the known impact of the dividend payment to be made in March. Looking forward, we plan to resume purchases of newly originated loans. We'll do this selectively and we'll continue to emphasize liquidity throughout the process. Recent rate locks on the mid-8% range with average LTVs of 72% and FICO scores of 752. We believe that purchasing these loans and maintaining a methodical securitization process is the best way to organically grow the earnings potential of the portfolio. Finally, the company has declared a $0.32 per share common dividend payable on March 31, 2023 to shareholders of record as of March 22, 2023. For additional color on our financial results, please review the earnings supplement available on our website. I will now turn it back to Sreeni for closing remarks.
Sreeni Prabhu: Thank you, Brandon. 2022 was a year of unique challenges for the market. We're set with rising inflation, higher interest rates and recession concerns. While Angel Oak was not immune to these challenges, we acted decisively to ensure the strength of our capital structure and have positioned ourselves to restart our growth programs. As always, I do like to thank the entire Angel Oak team for their hard work and the contributions as we seek to build long term value for our shareholders. With that, we'll open up the call to your questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] First question comes from Chris Kotowski from Oppenheimer. Please proceed with your question, Chris.
Chris Kotowski: Good morning. Thanks for taking my question. I guess just given the large number of moving parts with the sale and the securitization and so on, and given that we're like 68 days into a 90 day quarter. I wonder if you could give some guidance on expectations for net interest income and say the first and or second quarter if you can you can see that far out?
Brandon Filson: Yeah. What we're seeing, we haven't added much things to the portfolio with those securitization going out. The top line NIM will go down slightly. I'd expect with that securitization that the net interest margin should stay slightly compressed due to higher borrowing costs, but as we've moved another $240 million off to fixed securitization costs. We'll see some of that bleed through in NIM.
Chris Kotowski: And you mean that in dollar terms, relative to $7.4 million, okay.
Brandon Filson: In dollar terms.
Chris Kotowski: And then, okay, that's very helpful. And then presumably in the coming quarters, it will be a function of when and if you add to the balance sheet overall. And I know it's a very fluid environment, but any guesses to the likely balance sheet trends over the course of the year?
Brandon Filson: Yeah. We expect to get another securitization out much like we did in January. That would be probably a little bit smaller than the one we did, but reducing the whole loan balance securitizing more loans and then very soon start purchasing newly originated loans, which think that Sreeni had mentioned in his section, approaching 9% coupons. So that -- as we build that down sheet, the loan balance will come up some where we won't go as high as we did like in Q1 of '22. But as we buy those market coupon loans, you'll see both top line and bottom line NIM are interest wide now.
Chris Kotowski: Okay. And then on the expenses, I mean they had been kind of in the $4 million to $5 million range and $1.8 million this quarter. Any thought on what one should expect there?
Brandon Filson: Yeah. Well, the $8 million includes a decent amount of securitization cost. Going forward over the next year, looking at management fees will be decreasing. Our management fee that we pay the manager is based on the distributable earnings. So as we had distributable earnings loss this quarter, that's going to reduce. Run rate is going to go down about $1 million there. And then as some of the other things happen, we're doing a lot of analysis and we've brought in some services that we previously outsourced at a good cost savings. You should see another, call it, $1 million in savings kind of on a normalized basis.
Chris Kotowski: I'm sorry, you said $8 million. I was looking at the…
Brandon Filson: $1 million. $1 million less on management fee and then $1 million on operating expenses.
Chris Kotowski: And that's relative to the $1.79 million this quarter on OpEx?
Brandon Filson: Yes. The $1.8 million is a quarter, I'm saying annually saving us about $1 million on OpEx and $1 million on management fee.
Chris Kotowski: Okay. Those are annual numbers, so.
Brandon Filson: That's right.
Chris Kotowski: Okay. All right. Thank you. That's it for me.
Operator: Thank you. The next question comes from Don Fandetti from Wolfe Fargo. Please proceed with your question, Don.
Don Fandetti: Yes. Can you talk a little bit about the securitization markets? Obviously, you had a little window in January, but has that shot? Do you think another deal that can get done in this type of environment? And how do you feel generally speaking about liquidity? I mean the Fed is still raising rates still uncertain time. Does it make sense to start originating and growing or should you continue to just really hunker down here?
Sreeni Prabhu: Hey, Don. Sreeni here. So we -- I'll give you a broader -- because through our franchise, we are securitizing two different vehicles. Obviously, the REIT was able to take advantage of a good January. We hit the securitization markets, but we're consistently in the markets and we follow it. We have done another securitization here in February through our other vehicles. And the difference between the markets today, as of right now, Don, markets are getting fickle. But as of right now, what we're seeing is, these are getting done. They obviously -- they'll widen out as the markets get volatile, but we're not in a situation of, in August, September, October, November of last year when there was absolutely illiquidity in the system. And also remember there's not a lot of new originations that have been done. So if buy-side guys want to buy bonds of non-QM shelf, they got to buy now. There's not much supply that's going to be out there. I mean, if you look at the REIT, we don't have -- I mean, we don't -- literally have no -- nothing left anymore up to one or two more securitizations. So the markets are behaving. Spreads have to widen when stuff happens, but we did a very last acquisition in February. We intend to go back to the market in March. We're already working on that and REIT will have some loans in that. It could change, but right now, we're not seeing that. In terms of your other question of liquidity and look, we went through a lot of these iterations last year as you guys know. But where we are, I mean, if you think about the loans we have in the non-mark-to-market facility. We have a little bit over $100 million in a mark-to-market facility, which is not significant risk. So we're not going to go out and just double down and use all the liquidity and buy loans. That's why as Brandon was saying, even if we look to buy loans, by the time the loans get locked, the loans get closed, we're looking at putting money to work next month or the following month. And we will do it very thoughtfully relative to risk and relative to securitization markets. So for example, in March, if securitization markets don't behave, that we may slow down even more to buy a new loan. So we feel we're in a good position to do both now and that's what we are focused. So yeah, please don't expect us to just go double down and buy every single 9% coupon out there.
Don Fandetti: What is the plan in terms of a sustainable dividend level?
Brandon Filson: Yeah. Like we said last quarter when we did the cut from 45 to 32, we thought when we looked out at the opportunity set for 2023 that 32 would have been a sustainable level that we could maintain comfortably throughout, at least throughout the 12 months period. Always subject to review and analysis, but we are still comfortable with that as well. Like I said, when we did this last securitization, it'll function like our pre-IPO deals where we just retained bonds. And those bonds themselves that we retained have a go forward expected yield of between 10% and 15%. So that the discount that we inherently had because of the loans marking down is basically behind us and now it's going to be a good return. Then as we start buying the new loans, building back that NIM, it looks relatively good on the out couple of quarters this year, especially like, as Sreeni said, we're almost through or through a lot of the lower coupon loans. The risk of margin calls is significantly reduced. Let me just put some numbers around it. Sreeni mentioned we have about $140 million on our mark-to-market facility, but that's down from about $1.1 billion Q1 of ‘22. So the risk is, I mean, it's not zero, but it's significantly less than it has been in the year.
Don Fandetti: Got it. Thanks.
Operator: Thank you. [Operator Instructions] The next question comes from Matthew Howlett from B. Riley. Please proceed with your question, Matthew.
Matthew Howlett: Thanks. Good morning, everybody. Thanks for taking my question. Guys, the first, do you address the potential or the opportunity to repurchase stock here at 50% of the economic book value. Am I recognized the -- you're paying down the warehouse line, the focus on liquidity. Maybe if you could give us the unrestricted cash position today. But in terms of looking at buying new loans going forward versus buying back the stock, how do you feel -- how do you look at that analysis?
Brandon Filson: Yeah. No, I think we are looking at that analysis. We've continued to look at that analysis. There -- nothing has been decided today on that. We believe at this point where we have and look at future returns. Obviously, we have a point in time today that looks like you've got a large dividend yield, you take an immediate return, if you will, because we repurchased shares. But at the same time, that is going to shrink the size of this company. We've had -- we've gone from about $500 million in equity capital base to $235 million today. So we don't want to necessarily shrink it anymore, also keep the float up in the stock to help with trading. But again, we're evaluating that and we'll see where it goes. So unrestricted cash today is about $30 million but that is -- and then we also have about another $60 million of unlevered assets, bonds that are easily convertible and then about $18 million of unlevered loans that we could either lever or sell pretty easily.
Matthew Howlett: No. You did a great job getting another warehouse line and paying it down and trying to look forward for the next securitizations. It's great that you have access to it, it's a big step. And then on that note, I mean, could you just address, I mean, you talked about credit and the embedded HPA, but I think for investors, non-QM is getting a lot of press. It's always the sort of area that people are cautious about 2023. And I know non-QM is a broad vector. And could you just talk about where your non-QM is in terms of credit versus maybe the overall industry and why you feel that it's going to hold up better than just generic non-QM?
Sreeni Prabhu: Yeah. Matt, I'll take this one and Namit, jump in if you want to add to it. But look, I mean, we've always told people that in a non-QM of today is not the subprime of 2007. And in a combination of full underwriting of credit, loan to values in the 70s, true appraisals, et cetera., et cetera., when you originate a loan and you have all these qualities that you're underwriting, your risk of default goes low. Now that being said, look, if we are going to go in a higher recession, we're not naïve to think that there will be delinquencies in defaults. I mean, that's going to happen through a cycle, right? It's just a matter of when and how it happens. But the new originations that we have, by the way, just so we have gone really up in credit. And not just in the way across our franchise, we have almost slowed down our investor cash flow loans. We are not doing -- I mean, we're not doing high LTV loans at all. We are very, very conservative in terms of what we're originating, as of right now. But so we are clearly conscious that even though we think that the credit is good, you definitely need to tighten your credit even more going into a potential recession. We know that and we are thoughtful about that. But Namit, you have more details on that because you talk to the mortgage company about credit almost daily.
Namit Sinha: Sure. Yeah. So to Sreeni's point, like there is an aspect in mortgage credit of the quality of loans that you originate, right? And so when we talk about our average FICO scores being 740 plus and our average loan to values in the low-70s. These are attributes that sort of look similar to agency originations. Quite different from the historical knowledge and the originations that used to happen in the pre-global financial crisis period. And these loans have performed really, really well. They've hardly had any losses in the last seven, eight years of our originations. Now, if we do go into a bumpy macro environment, as Sreeni mentioned, we do expect some increase in delinquency. But if you have a book with where the delinquency numbers are running with a 1% handle and we go into a recession and that delinquency goes up like 50%. You're still talking about a delinquency that is close to 2% and that is not a huge distraction from the return potential of these loans, especially when you think of the loan coupons that are being originated, right? We are talking about a 9% coupon being originated with a 740 plus FICO and 70 LTV. And if you have -- and because of the current market spread, these loan prices have remained very suppressed. So if your delinquencies go from 1% to 2% it does not take much. I mean, if you do them rough math around it and let's say that marginal extra 1% loans, default at a 50% rate. So now you have an extra 50 basis points of default. You apply 50 severity. You have an extra 25 basis points of loss. Spread over three years, that's a 8 basis point reduction in loan yield. That's hardly anything when you look at the current coupons on these loans. So yes, in any macro environment which goes into a recessionary period, no matter what the quality of the loans, you're going to see a percentage sort of increase in delinquencies. But given the platform, given the loan under writing, given the quality of these loans, that number is not expected to be where some of the earlier non-agency programs used to go to in prior tough periods.
Matthew Howlett: Yeah. I'll certainly see the disconnect between, what you're seeing what the market is anticipating. Last question, just a quick update on Angel Oak Mortgage to mortgage company? Do you feel like the right size, the platform? Do you feel like it's in position to grow on 2023?
Sreeni Prabhu: Yeah. I'll take that one. Yeah. I mean, there's a lot of conversations about the Angel Oak Mortgage Company. Just to reiterate, we had two mortgage companies. So one is important for this discussion and one was just a business venture we had. So we had a retail mortgage originator, which was largely an agency mortgage originator. And that's where we had some of our licenses. And that's the business that we dramatically reduced because that was not a non-core function. We made good amount of money in 2021 and market got really tough in 2022 and that was not the business we really wanted to be in. On terms of non-QM, which really came from our wholesale mortgage originator, which is mortgage solution really the majority of infrastructure is exactly the same. It's not any different. We made obviously every mortgage company has gone through cost cuttings, but we really have not much risk on balance sheet. We're originating a volume here and flowing through coupons are approaching 9% as we speak. But volumes have dropped. They're probably going to end up being half of what they were early last year. But what we're focused on right now in the mortgage company is not volume, it's more volume and credit. And that's what we are focused on, but not many changes from that perspective.
Matthew Howlett: Great. Thanks, everyone.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back to management for closing remarks. Thank you.
Sreeni Prabhu: Thank you, everyone for your time and interest in Angel Oak Mortgage REIT. We look forward to connecting with you again next quarter, please feel free to reach out to us and we invite you to our offices anytime you guys would love [indiscernible] this. Thank you so much. Bye.
Operator: Thank you very much. Ladies and gentlemen, this does conclude today's call. Thank you very much for your time. You may now disconnect your lines.